Presentation: 
Operator:
Eduardo Landin:
Eduardo Noriega:
Eduardo Landin:
Operator:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Eduardo Noriega:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Eduardo Noriega:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Landin:
Charles Gordon:
Eduardo Noriega:
Charles Gordon:
Eduardo Landin:
Operator: